Operator: Good morning. My name is Jester, and I will be your conference operator today. Welcome to the New Gold’s First Quarter 2025 Earnings Call and Webcast. All lines have been placed on mute to prevent any background noise. Please be advised that today’s conference call and webcast is being recorded. [Operator Instructions] I would now like to hand the conference over to Ankit Shah, Executive Vice President of Strategy and Business Development. Thank you.
Ankit Shah: Thank you, operator, and good morning, everyone. We appreciate you joining us today for New Gold’s first quarter 2025 earnings conference call and webcast. On the line today, we have Patrick Godin, President and CEO; and Keith Murphy, our CFO. In addition, we have Travis Murphy, Vice President of Operations; Luke Buchanan, Vice President of Technical Services; and Jean-François Ravenelle, Vice President, Geology available to assist during the question-and-answer period. Should you wish to follow along with the webcast, please sign in from our homepage at newgold.com. Before the team begins the presentation, I would like to direct your attention to our cautionary language related to the forward-looking statements found on Slide 2 of the presentation. Today’s commentary includes forward-looking statements relating to New Gold. In this respect, we refer you to our detailed cautionary note regarding forward-looking statements in the presentation. You are cautioned that actual results, and future events could differ materially from those expressed or implying forward-looking statements. Slide 2 provides additional information and should be reviewed. We also refer you to the section entitled Risk Factors in New Gold’s latest AIF, MD&A and other filings available on SEDAR+ which set out certain material factors that could cause actual results to differ. In addition, at the conclusion of the presentation, there are a number of end notes that provide important information and should be reviewed in conjunction with the material presented. Slide 4 highlights some of the key accomplishments during the first quarter of 2025. Over the first four months of the year, we have made excellent progress on advancing and completing many of the objectives we presented at the beginning of the year. Safety, highlighted by our courage to care culture continues to be a focus and strength for the company. During the quarter, we delivered a low total recordable injury frequency rate of 0.55, a 40% improvement compared to the first quarter of last year and continuing the downward trend over the last three years. During the quarter, the company produced just over 52,000 ounces of gold and 13.6 million pounds of copper at an all-in sustaining cost of $1,727 per ounce. First quarter gold production represented approximately 15% of the midpoint of the consolidated production guidance of 325,000 to 365,000 ounces of gold, slightly ahead of the planned first quarter guidance of 14%. The company generated over $107 million in cash flow from operations and $25 million in free cash flow with New Afton contributing an impressive $52 million in quarterly free cash flow. The company successfully achieved several critical path items, which will enable us to realize the increased production profile throughout the year. At New Afton, cave construction progress is now more than 50% complete, facilitating the ongoing ramp-up in the mining rate towards the target of 16,000 tons per day by early 2026. At Rainy River, the first four months of the year have focused on waste stripping. The pit is now positioned to deliver ore at a low strip ratio through to the end of the year. In the underground mine, we achieved an important milestone with the pit portal breakthrough, allowing for increased underground development and production rates. As a result, Rainy River is on track to deliver higher gold production and lower costs in the upcoming quarters, in line with our 2025 guidance. The quarter was also successful in improving our financial flexibility. The company refinanced and extended its senior notes to 2032 and amended and extended the revolving credit facility to 2029, both at lower rates, thereby increasing New Gold’s financial flexibility. And lastly, in April, we announced that New Gold would acquire the remaining 19.9% free cash flow interest at New Afton, consolidating our interest to 100%. We successfully delivered the first quarter as planned, with the primary goal of creating meaningful value for our shareholders. Before getting into the quarterly details, I would like to take a moment on Slide 5 to reiterate the April transaction, where we announced that New Gold would acquire the remaining 19.9% free cash flow interest on New Afton held by Ontario Teachers for $300 million. The transaction will be funded with a mix of cash on hand, our credit facility and $100 million gold prepay. This was an excellent transaction for New Gold and its shareholders for many reasons. There was no equity dilution and no due diligence risk. We consolidated 100% of the free cash flow as we enter a period of strong free cash flow at both New Afton and at New Gold. And it provides the company with full exposure to the significant exploration upside and mine life extension possibilities at New Afton. This transaction concludes a five-year journey that see New Gold’s free cash flow interest returned to 100%. The initial transaction in 2020 was one of the critical first steps to improve New Gold’s balance sheet. Following two successful transactions for our shareholders, we enter an incredibly exciting period of free cash flow generation with a strong balance sheet and financial flexibility to continue to build from here. We would also like to thank Teachers for their support and partnership over the last five years. With that, I will now turn the call over to Keith.
Keith Murphy: Thank you, Ankit. I’m on Slide 7, which has our operating highlights. As Ankit noted, Q1 delivered production and costs on plan. Production totaled approximately 52,200 gold ounces and 13.6 million pounds of copper. This decrease in gold production compared to Q1 2024 was driven by planned lower feed grades at both sites. Consolidated all-in sustaining costs for the quarter were $1,727 per gold ounce on a byproduct basis due to the lower planned production in Q1. Costs will continue to trend down throughout the year as production increases. New Afton delivered an excellent quarter as the B3 cave continued to deliver strong grades better than planned. As a result, New Afton achieved an all-in sustaining cost of negative $687 per ounce after considering the copper credits. Rainy River delivered on plan with a focus on waste stripping to set up the open pit for low strip high ore extraction for the balance of Phase 4. All-in sustaining costs were $2,758 in the quarter and should trend lower throughout the year as production ramps up. Our total capital expenditures for the quarter were approximately $75 million, with $42 million spent on sustaining capital and $33 million on growth capital. At New Afton, sustaining capital is primarily related to equipment and vehicles, while growth capital primarily related to C-Zone underground mine development in cave construction. At Rainy River, sustaining capital primarily related to capitalized waste, tailing dam raise, and capital components, while growth capital related to underground development of Underground Main and Intrepid. Turning to the assets, starting with New Afton on Slide 8. New Afton delivered another strong quarter. The B3 cave performed better than planned and C-Zone ore production continued its ramp following commercial production and crusher commissioning early in the fourth quarter of 2024. First quarter production represented approximately 28% and 25% of the midpoint of guidance of 60,000 to 70,000 ounces of gold and 50 million to 60 million pounds of copper, respectively, higher than the quarterly guidance of 20% due to those higher B3 grades. The B3 cave is expected to be exhausted by the end of the second quarter and annual production is expected to be in line with the guidance profile previously provided. All-in sustaining costs for the quarter decreased substantially compared to the prior year period, driven by lower operating expenses, lower sustaining capital spend and higher byproduct revenues. With increased production at lower costs, New Afton generated an impressive $52 million of free cash flow while continuing to complete the construction of the C-Zone block caves. Turning now to Rainy River on Slide 9. Gold production in the first quarter was in line with plan, producing 33,900 ounces. First quarter production represented approximately 12% of the midpoint of guidance of 265,000 ounces to 295,000 ounces of gold slightly ahead of the quarterly guidance of 11%. Production in the first quarter was lower than prior period as planned as the majority of ore processed was from the lower grade stockpile while Phase 4 stripping was advanced. With the quarter delivering as planned, production is expected to step up meaningfully going forward, and we remain on track to deliver our production and cost guidance for the year. Our financial results can be found on Slide 10. First quarter revenue was $209 million, higher than the prior year quarter due to higher metal prices and higher copper sales, slightly offset by lower gold sales. Cash generated from operations before working capital adjustments was $90 million or $0.11 per share for the quarter. This was higher than the prior year period, primarily due to higher revenues. New Gold generated quarterly free cash flow of $25 million as higher revenue was only partially offset by the higher capital expenditure as key growth projects were advanced. The company recorded a net loss of approximately $17 million or $0.02 per share during Q1. After adjusting for certain of the charges, net earnings was $12 million or $0.02 per share in Q1. Our quarterly adjusted earnings include adjustments related to other gains and losses. Turning to Slide 11. Q1 was a very productive quarter as we continue to strengthen our balance sheet and increase our financial flexibility. In March, we completed a $400 million senior notes offering with an interest rate of 6.875% and due in 2032. This was used to tender approximately $289 million of the $400 million 2027 senior notes with the remainder to be redeemed in mid-July when the call price steps down. This five-year extension as well as the lower interest rate significantly enhances our financial flexibility. We also executed an amendment that to our existing revolving credit facility with strong support from our syndicate of lenders. Under the amendment, the term has been extended by four years, now maturing in March 2029. An accordion feature has also been added, which will allow the principal amount of the credit facility to be increased by up to $100 million, subject to certain conditions. Lastly, as Ankit mentioned, after the quarter, we announced plans to acquire the remaining 19.9% free cash flow interest in New Afton. This is expected to close in the coming days and as part of the financing, New Gold entered into a gold prepayment in mid-April. The company has agreed to deliver approximately 2,771 ounces of gold per month over the July 2025 to June 2026 period at an average price of $3,157 per gold ounce. We will utilize cash on hand and the revolving credit facility to pay the remaining $200 million with the expectation that the credit facility will be fully paid off by year-end from the meaningful free cash flow we expect to generate throughout the year. At the end of Q1, we had cash on hand of $213 million and a liquidity position of $590 million with the credit facility undrawn. Sum up, we are in a very healthy financial position while utilizing our balance sheet to consolidate our interest in New Afton to 100%. With that, I’ll turn the call over to Pat.
Patrick Godin: Thanks, Keith. Slide 13 reiterates our three years outlook. We expect continued and significant growth in gold and copper production over the next three years. With the increasing production, unit cost per ounces of gold are expected to be reduced significantly. Top lending and growth capital costs are expected to taper off over the next three years. This is primarily due to the completion of major projects and the reduction in open pit stripping at Rainy River. We have the increase in production combined with the reduction in unit costs and different capital costs for the next two years. The company is well posited to deliver significant cash [ph]. I want to reintroduce the free cash – this free cash flow slide. It was a focal point of our original outlook presentation back in February. This has been updated to include New Gold’s 100% free cash flow interest in New Afton. We continue to expect to generate significant free cash flow at current consensus commodity price, this translates to approximately US$1.86 billion [ph] in free cash flow over that period. At current spot prices, the figure exceeds $2.5 billion over 90% of our market cap. Touching on exploration briefly on Slide 15. At New Afton, the lower K-Zone exploration drift is progressing as planned. With more than 65% of advancement, and I’m happy to report that we start drilling for the first exploration day and we’ll have four additional drills in the drift by the end of Q2. K-Zone drilling activities will therefore ramp up significantly throughout the year with the objective of defining K-Zone integrated resources by year-end. In addition, we are conducting exploration drilling surface to develop new near-mined targets. During the quarter, we also continued to advance technical studies and products new mining zone not currently included in our real life of mine plan. These are K-Zone, Hanging Wall Zone and D-Zone. The focus continues to be on utilizing existing infrastructures and advancing growth project to maximize net asset value and extend the mine life to 2040, generating significant free cash flow and value for our shareholders. At Rainy River, exploration focus during Q1 was on the Northwest trend, which based on last year drilling as the potential of presenting open pit reserve in the short-term and still show growth opportunities. Exploration drilling also targeted the down-plunge extension of ODM Main from surface as part of the company’s strategy to explore for additional high grades underground ore. This year’s program at North West Trend include a combination of diamond-drilling to tell the down dip extension of the current zone in North Sea drilling to infill and drove the zone along strike, spending up exploration – speeding up exploration, sorry and saving on costs. We continued our work in open pit expansion mining potential [indiscernible] additional studies and underground mine design and transition as well as filing servers also continued to make progress. In closing, Q1 was positive for New Gold, and we continue to deliver on our stated strategic goals. We will continue to build on these goals from here. This includes delivering of 2025 production and cost guidance with the same attention to health and safety. Our continuous improvement total reportable incident frequency rate performance is a direct indicator of the support from our employee for the coverage to care future. At New Afton, we will ramp up C-Zone and advance the development of this extension. At Rainy River, we’ll continue to ramp up the underground mine, mining Phase 4 and advanced Phase 5 open pit development. Lastly, we are continuing to increase our exploration effort at both sites with a combined $30 million of investment for 2025, targeting further reserves replacement. This is a very exciting time for New Gold of increasing production and significant free cash flow generation in a robust community cycle. Combined that with our safe, well-established mining introduction and exposure to what we view our perfect metal in gold and copper and New Gold offers a competing investment opportunities. The reminder of 2025 will see the company built on the first quarter result, which is expected to create meaningful value for our shareholders and provide increased financial flexibility and option to – optionally for New Gold moving forward. Before I turn the call over to questions, I would like to just take a minute to welcome Travis Murphy to our team. Travis joined the New Gold team as our VP of Operation in late March and has spent his first month at site. Travis will take a more active role in our quarterly calls as it settles in. But for now, I hope you will join me in welcoming him to our team. This completes our presentation. I will now turn it back to the operator for the Q&A portion of the call. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from Michael Siperco from RBC Capital Markets. Please go ahead.
Michael Siperco: Thanks very much for taking my question. Maybe starting with the New Afton exploration update that you provided. And in the context of the – the two-part question, I guess, in the context of the additional consolidation of New Afton getting up to 100% and maybe the gold price as well over the last few months. Does anything change in terms of how you’re approaching that exploration and the outlook for the K-Zone? And the potential next block cave? And the second part is, can you give us maybe an indication of the cadence of what we should expect in terms of a potential for a resource study? How are you mapping that out over the next little while?
Patrick Godin: I think the first question – we consider Teachers as a partner. And the way that I think we start to know each other, Mike, the way that I’m working and I’m not out [indiscernible] and working and I’m fully engaged. And so we – the objective will not change to bring the mine life of New Afton beyond 2040. So our investment where – so we cannot spend more money for now that what we are doing, because we are mainly limited by the drift itself and our capacity to add more drills outside, but we are pretty aggressive, and we’ll continue to be aggressive. K-Zone for us is the potential to – we want – our objective is to find another C-Zone there. Jean-François with the team outside is working extremely hard for this. The drift is going as expected. We need to have – to intersect the ore body and to go deeper and to go more east, we need to push this drift. We will be – I think we – originally, we plan to have three drills in the drift. We’re going to push to five drills. This year, mainly to complete the drilling as much as we can for the beginning of Q4 to be able to have scaled resources in K-Zone for year end. That we are doing. But in parallel, Jean-François and the team are looking for other targets. So I hope that is before year-end, we’ll be able to disclose a few of the discovery if we have. But it’s – we still have a lot of financial on our property, and we want to maximize that. We provide an exploration update probably at the end of Q3. It’s mostly we’re targeting that for September.
Michael Siperco: So would it be – I know I’m skipping ahead a bit here, but would it be reasonable if you have let’s say, the success that you think you’ll have at K-Zone and under the C-Zone would it be realistic to think about maybe an initial study in 2026? Or how are you thinking about that pacing?
Patrick Godin: Depending of our success, it’s what we are – we will contemplate yes. We’re also having involve where we have indicated – we also having involved with something that we don’t want to park. It’s on the – it’s just behind the [indiscernible] that we mined between 2012 and 2022. A – we have indicated resources in the wall. So we want to – the main objective for the team for Jean-François and Luke is to look at – to have a holistic approach of the resource that we have, if we’re just adding one target and you run after this, yes, we’ll generate NAV. But if we put the three and we align them one after the other, what is the good order to generate the maximum NAV and reduce the capital allocation to make sure that because one of the objective – personal objective that it’s our objective that we have is to be to continuously generate cash flow at New Afton. And based on that, I think if we do our job appropriately, we’ll be able to balance our capital allocation and the revenue generation and the NAV for shareholders. So I think for now, as Jean-François is the team are blasting the exploration, if I can say that, to bring us. And our objective, as I said to you, is to find another season there. And if consequently, I think we can easily bring this one beyond 2040. So we target studies, we target resource updates for the end of this year. So it provided an update to the market for exploration work at the end of Q3. We want to have new and skilled resources for year-end and we will probably blast, we’re already doing work. So Luke is working extremely hard with the team. We’re already doing prep works to have studies for 2026.
Michael Siperco: Okay. Makes sense. And then just one follow-up on M&A then. I mean, it sounds to me like – you’ve got a lot of optimism about New Afton. There’s the upside at Rainy River. Again, in the context of the consolidation from 50% to 100% of New Afton, are you thinking much about growth opportunities outside of the portfolio? Or do you think for now you’ve got more than enough on your plate to look at longer-term growth?
Patrick Godin: The first thing is, what we control is our organic growth. That’s something that we – and so we cannot control what is in the ground with exploration. But I think as we control our destiny through if we develop our resources and develop our assets. So it’s what we can control and it’s where we are investing the majority of our effort and capital allocation in terms of organic growth. For M&A, it all depends on the opportunity. As I explained to you before, our intent is not to be bigger to be bigger. Our intent is to be bigger to be better. And so – and we are prudent in our approach and our focus is to increase value per share and it’s mainly what to take our action here.
Michael Siperco: Okay, perfect. Thank you very much. I’ll pass it on.
Operator: Thank you so much for that question. The next question comes from Lawson Winder from Bank of America. Please go ahead.
Lawson Winder: Thank you, operator, and good morning, Patrick and team. Thanks so much for the update. Thinking of Rainy River and the future there, so with the gold price where it is, to what extent might you now consider a more significant layback on the open pit to continue to access additional ore there as opposed to just focusing on underground? And then in thinking of that, what are your options for tailings?
Patrick Godin: Yes. So I think we – Luke and I, we can answer to this, but the new is that – we’re looking at this because we’re already having instated resources. We have a part – we have gains that we can have if we put the open pit, and we have part of the answers that will be transferred from underground to the open pit mining method. What we are looking at actually is the CapEx allocation not necessarily for the pushback itself, but for the same-store facilities. So we – for the [indiscernible] that we present to the market that the beginning of Q1 of this year, the tailing storage facility is gone through its maximum capacity. So we have all the infrastructure that we all be the production profile that we present in the technical report is – will be stored in the daily storage facilities, but we are close to the maximum capacity. So we are looking at different possibilities to reduce the CapEx that we will have to invest in daily storage facility, if we want to do the pushback. And it’s all this balance that Luke is working on. Do you want to add something?
Luke Buchanan: No, I think that’s covers most, but I think just to add that this exploration drilling that we do in North West Trend is provided the opportunity for a potential small pit in northwestern as well. And if that works out, then that also provides an initial opportunity for mid-teens in the future as well. So we’re looking there a lot of different scenarios, and different options at the moment.
Patrick Godin: Yes. But you’re right, it’s the capital is behind us in the mill. We have trained people who are trained and qualified to do open pit mining. We have motivated people. We improved drastically our performance in health and safety. We improved drastically also our maintenance mill at ability with the maintenance in the mill. So we want to maximize that as much as we can. And also for the first time this year, we are investing Jean-François looking for targets on our land package at Rainy River. So with the vision that we – our vision is that ultimately, at the end of the – when we’ll exhaust the mining reserve that we have is that we have a pit that will be a really low annual cost savings of our facility. So if we can find another pit, and we have – we’re connected to the national grid. We have a really efficient mill that is performing extremely well in terms of recovery compared to the grade that we’re feeding the mill with. I think it’s what we’re looking at. We are initiating work for the first time on the property to find additional resources this year.
Lawson Winder: Intriguing. Yes, looking forward to hearing more about that. I follow-up on Mike’s question just about growth and your desire to get bigger. When you think about the ideal asset to add to the portfolio. Do you think of a project, an operating mine. And then when you think of jurisdiction, I mean are you primarily focused on Canada? You mentioned the Americas in the past? Maybe you could just elaborate on what your thinking is in terms of jurisdiction as well?
Patrick Godin: Well, is so because we’re not – we’re a company, we have two assets actually. We are pretty agile. We have a head office that is not necessarily, I would say extremely fast. We are modest. We have experienced in the Americas. So basically, it’s something that if we have to look back, it’s something that we will – we are to be opportunistic, we’re looking at. But it’s difficult to find a project that is perfect. We have expertise in open pit. We have expertise in underground. We have myself, I built two mines and two companies from scratch. But it was prior. So today, it’s a bit different. We have the capital risk is different. But in terms of it’s difficult to give to be precise on this. And so we look at the safety of people first, and we are looking at stability first. We cannot afford to invest time and effort and capital in the project and to – in the government where we are looking and we are doing business since calling back the permits. We cannot afford that. And also for me, personally, the security of my people is the most important thing. And I just – I don’t want to compromise the security of people we were doing work. So maybe it guides that we know where we want to play. And I think it’s where we’re looking at.
Lawson Winder: Now just the other part of my question was kind of project versus operating mine. Is there a strong preference between this?
Patrick Godin: I think is the focus is becoming small. So it’s my preference will be to have a mine that is operating with cash flow and subsequently to build something. But we’ll have to see. Again, we want also – our company is, we add to my processor, they did an amazing work to readdress the balance sheet of this company, and I don’t want to get back in the same position. That’s why we want to be present in that. So – but if we can, the priority will be to add – to both to our two assets, a productive asset, asset that is in production that is generating cash and subsequently is to build some, but – it’s the last time that I check on Amazon, it was not possible to find this.
Lawson Winder: Yes, not easy. Okay. Thanks for that color, Patrick. Thanks for much appreciated.
Patrick Godin: Thank you. You’re welcome.
Operator: Thank you so much for that question. And for the next question, we have here Eric Winmill from Scotiabank. Please go ahead.
Eric Winmill: Hi, Patrick and team appreciate you taking my question. Just New Afton, I wonder if you could elaborate a little bit. So you’re doing the float cleaner circuit upgrade here to bump the recoveries. I know you’re saying it’s commissioning in Q3. Just wondering what some of the key milestones we see looking for there. If you could please remind us on the CapEx? And then I guess second part, are you seeing any challenges in the supply chain here as it relates to geopolitics and tariffs and what we’re seeing? Thanks.
Patrick Godin: Yes. So we have a few questions Eric. I’ll try to, if I’m missing some points you let me know. So on CapEx, we’re bang on. So I think what we present in the technical report, what we present to you in the guidance we are. So we’re – what we are doing our forecast for year-end we are bang on. We’re progressing extremely well because and – this year we have in the capital allocation is for the stabilization of the tailings we are a year in advance. And when we did the bad [ph] symmetry of the tailings storage facility we have 20% less water than expected. So we are really well positioned to stabilize that more than a year in advance. So we are really satisfied. We have an investment in the mill that will increase the recovery and our concentrate that is just replace what is in sales. It’s going extremely well. We are buying on time and slightly under budget. And for underground we are exactly where we want to be in term of the progression of the conclusion of the cave. So we are 53% progression in the cave. We expect to be at 94% at year end. So we’re still adding food raw bills to build in Q1 2026 as planned and actually we are banging in terms of CapEx. So the next milestone is what is exceptional for New Afton is in Q1 we overperformed B3 in term of recovery and in term of grade so it was excellent. And also the progression, it’s the progression it helped because we slowed down the progression of C-Zone to go forward with D-Zone because we have more tons to extract and also the progression of C-Zone is as planned and will reach slightly more – so is and in term of ton that will convey so we’re still expecting to be at 60 tons per day by the end of this year, and we have – we will do the exploration update that is a major milestone at New Afton in Q3 we’ll have our new reserve at the end at the beginning of Q4, and so I think it’s the major milestone that we’re going to have there this year. So the mine is we’re really pleased it’s performing as expected. It’s not better than expected mainly at B3 and we’ll complete the extraction of B3 in Q2 in this quarter in Q2 2025.
Keith Murphy: And Eric, it’s Keith on supply chain. And we’re not really seeing a material impact right now and there’s a relatively small portion of our cost profile that comes from the U.S. and is subject to tariffs. We have seen some pressures, I’d say overall on supply chain, but our team has done a really good job to mitigate. We haven’t seen any impact on critical suppliers or anything like that. So a little bit, but not much impact at the moment.
Eric Winmill: Okay. Fantastic. Yes, I really appreciate all the added color. Maybe just on the float cleaner circuit upgrade, any specific milestones we should be looking for there as it comes into service in Q3?
Luke Buchanan: Yes. Hi Eric, it’s Luke here. So we just finished the major shutdown in the plants at New Afton this month, which is planned. So as part of that, we completed the bypass of the third stage of cleaners. So that’s put us in a position to complete the project in Q3. We’re talking major delays or interruption between operations. So that’s the really major milestone, which was just completed. And then the fabrication of the [indiscernible] itself is also gone. That’s everything’s on track there.
Eric Winmill: All right. Great to hear. Really appreciate it. So yes, congrats on a good start to the year. I’ll hop back in the queue. Cheers.
Patrick Godin: Thank you.
Operator: Thank you for the question. And for our next question that would be for Jeremy Hoy from Canaccord Genuity. Please go ahead.
Jeremy Hoy: Thank you, operator. Hi Pat, Ankit, Keith thanks for taking my questions and welcome to Travis. Just two questions from me. You guys completed a milestone at Rainy River in the underground development as the breakthrough of the pit portal. Two other key items that you had talked about was the fresh air raise and event loop – can you comment on progress there and if those are still expected to be complete in Q2? And my second question is on grades in B3. I know that’s going to be culminating this quarter, but just wondering, so far, if we’re seeing elevated grades as that case tails off?
Patrick Godin: Just for maybe the first point for remember, the fresh air raise, the excavation, the risk boring is completed then it was completed last year. The race is cash for now. But we think we’re going to receive all the components – and our objective is to commission that in mid-June and to be fully operational for end of June. So I think it’s going to be in Q2. That’s an important milestone for us. And in the event loop, I think we still having 117 meters of development to complete. We are ramping up and we are working for both sides that decline and we’re ramping up and we found we plan to complete the event loop for again in Q2 this month, this quarter. So basically there’s two major milestones and a lot of possibilities to speed up the development. And the portal, we are using the portal actually and rehauling the material for reeling the waste from the development to the pit. And we’re handle that from the pit to the storage facility.
Ankit Shah: And then, Jeremy, with the grades, yes, as we said, we continue to see the B3 cave progressed well. As I said, we expect that to be completed and exhausted in Q2 and then we’ll be in that transition period between C-Zone and B3 grade. So we do expect the production profile to be aligned with what we guided previously.
Patrick Godin: Jeremy is on the grade in the block cave is we simulate that. We’re using sophisticated software, we call that PCBC to model, to do the model of the grade. And at the end of a block cave usually you have more dilution, because you have less material in the stop and the dilution is coming from the wall. So we plan for the worst and we wish for the best. And in this situation we got the best, because we had less dilution. So the grade is way higher than expected. It’s really what is happening.
Jeremy Hoy: Yes. Well, it was a nice little surprise for the quarter...
Patrick Godin: Sometimes it’s good to have some positive...
Jeremy Hoy: Yes, absolutely. I’m an agreement there. And if you can’t find any assets on Amazon, maybe you can look at Temu, I heard prices are cheaper there as well.
Patrick Godin: Thank you.
Operator: Thank you for that question. And for our next question, that would be from Mohamed Sidibé [National Bank Financial]. Please go ahead.
Mohamed Sidibé: Thank you. Patrick and team thanks for taking my question. So just a follow-up on Jeremy’s question, I guess, at New Afton undergrads. I just wanted to focus maybe on the split. So you mentioned that we can still, I guess, model that 45% in the first half of 2025 and New Afton does that imply basically a weaker Q2 with grades coming down there?
Ankit Shah: Yes. As I said, the Q2 with the B3 coming off and C-Zone ramping up there is that kind of transition point with the caves and, with the startup of the C-Zone cave? We did expect them, we do expect that to be lower grade. So yes, we’re still in line with that production profile that we outlined at the start of the year.
Patrick Godin: And also more than this is the bottom part of C-Zone. We have some lower grade that is expected because it’s part of the reserves itself. It’s not homogeneous. So with the lower part and also we have some draw bills or in waste and the ore is over and above. So it’s planned. So in 2025 we will process more tons than we did in 2024 to produce the same metal, more or less. It’s mainly because the beginning of C-Zone the grade is lower and it’s what is in the plan, it’s what we forecast.
Mohamed Sidibé: Great, thanks a lot for that caller. That’s pretty helpful. And just the second question on the capital allocation priority. I think other analysts already touched on the M&A front, but I was just wondering if as part of as you look over the next three years and the amount of free cash flow you’ll be generating, if there is any thinking around maybe potential capital returns to shareholders or that’s really not top of mind currently. Thank you.
Patrick Godin: It’s something that I – so we are working on that. So for now for sure for this year we have to so just the buyback of the 19.9%, we didn’t want to dilute our shoulders. It was our strategy. So yes, we have the prepay and we have the revolver that we want to refill for year-end as much as possible and we want also to maintain a minimum of cash in based on what happened with COVID can be happen or it’s mining. So we want to make sure that we have sufficient capital. I’m not talking to have a $1 billion, but was there $150 million in cash in the bank account to react appropriately to what we have to face and to be opportunistic. And after that, if the projects are not if we, so we have our project that we want to support if they are providing value for shoulder if not for sure if we have we’ll have to return the money to the shareholders and something that with the board we are really vigilant and we know that the cash flow that will generate and we know that it’s shareholder money and so it’s what we’re working for. And so we will probably look at this in the medium term portion [ph].
Mohamed Sidibé: Thanks a lot Patrick and congrats on a good quarter.
Patrick Godin: Thank you.
Operator: Thank you for that question, Mohamed. And since there are no further questions at this time, I’ll be transferring the conference again to Mr. Ankit Shah, please continue.
Ankit Shah: Thank you, and thank you to everybody who joined us. As always, should you have any additional questions, please do not hesitate to reach out to us by phone or e-mail. Have a great rest of your day.
Operator: This concludes today’s call. Thank you for participating. You may now disconnect.